Operator: Good morning. My name is Laurel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Alaska Air Group First Quarter 2015 Earnings Conference Call. Today’s call is being recorded, and will be accessible for future playback at www.alaskaair.com. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session for analysts and journalists. [Operator Instructions] Thank you. I’d now like to turn the call over to Alaska Air Group’s Managing Director of Investor Relations, Lavanya Sareen. Please go ahead, sir. Lavanya Sareen
Lavanya Sareen: Thanks, Laurel. Good morning everyone, and thank you for joining us for Alaska Air Group’s first quarter 2015 earnings call. Our CEO, Brad Tilden; our CFO, Brandon Pedersen, and our Chief Revenue Officer, Andrew Harrison, will provide highlights from the first quarter and our outlook for the second quarter. Several members of our Senior Management Team are also on hand to help answer your questions. Our comments today will include forward-looking statements regarding our future expectations, which may differ significantly from actual results. Information on risk factors that could affect our business can be found in our SEC filings. We will refer to certain non-GAAP financial measures, such as adjusted earnings, unit costs, excluding fuel, and we have provided a reconciliation between the most directly comparable GAAP and non-GAAP measures in our earnings release. This morning, Alaska Air Group reported a record first net profit – first quarter net profit of $149 million, or $1.12 per diluted share. This result compares to First Call consensus of $1.10 per share, and exceeds last year’s adjusted net income of $89 million or $0.64 per diluted share. Additional information about cost expectations, capacity plans, fuel hedging, capital expenditures and other items can be found in our investor update, included in our form 8-K issued this morning. And available on our website at alaskaair.com. And now I’ll turn the call over to Brad.
Brad Tilden: Thanks Lavanya. And good morning everyone. On our fourth quarter call, I told you all about a host of initiatives that we’re focusing on in 2015, to further strengthen our competitive advantage. Or to borrow a term from Warren Buffet, the economic mote between us and the competition. I’m really proud of our 14,000 who’ve made great strides on these initiatives right out of the gate. We’re performing as well on many fronts and our people are as focused on providing great service to our customers as I’ve ever seen. Thanks to their efforts, we’re off to a great start this year, and this should set us up very well for the rest of 2015. Our strong results are driven by several things: by our first jokes [ph] to schedule planning, by our consistent and reliable operation, by effective marketing, by our long-term and cultural emphasis on high productivity and low cost and most importantly by a strong focus on customers by everyone here. Given this, I thought it might make sense to focus on some of these underlying drivers of success before I get into the financials. Our people continued to do a great job of running a strong operation. 85% of our flights arrived tend to do a great job of running a strong operation, 85% of our flights arrived on time in the first quarter and we expect that is will result in a Alaska and Hawaiian being tied for the best on time performance in the industry. Our completion rate of 99.4% was the highest among the seven largest domestic carriers. Horizon’s completion improved 0.5% to 97.3%. We have room for improvement here and this is a focus area. Alaska’s completion rate of 99.4% means that we cancelled just 233 flights during the quarter, or about 2.5 flights per day. 60% of these cancellations were due to weather which we view as non-controllable, at least in the short run. Our employees are delivering on our promise of taking care of our customers. We recently launched our new onboard product, Alaska Beyond, which includes our custom built recuro [ph] seats, seat power, streaming movies, signature food dishes by chef Tom Douglas [ph] and prominent Northwest wines. Alaska Beyond has been very well received as reflected in our customer satisfaction scores. And on that subject our customer satisfaction score was 86% for the first quarter, up 3% versus 2014 which is the highest score since we starting tracking this metric in 2007. If it sounds like we’re repeating ourselves, we are. Our fourth quarter score was also a record. In fact, our people have raised the bar for customer service and customer satisfaction every year since 2007 when we started collecting this data. Our people and our culture are being recognized. Forbes just named Alaska one of America’s best employers. This affirms that our people are aligned with our goals and engaged in achieving them and most importantly that they’re proud to work here. We are only one of three airlines that made the Top 100 and we’re in great company with Southwest and JetBlue. They’re both ranked ahead of Alaska that gives us a goal to work towards. These strengths together with a low cost structure and low fares have allowed us to grow consistently while increasing the reach and utility of our network for our customers. We added three new markets in the first quarter including Seattle to Dulles, and San Deigo to Kona [ph]. As we look at our network more broadly, Alaska has added 19 new markets in the last 12 months, and 73 new markets in the last 5 years. In fact 40% of our revenue and profit in the last year has come from markets that we did not serve in the year 2000. The point is this, our strategy is working. Our people are doing a good job of deploying capital in the right markets where that capital is producing returns that are materially greater than our cost of capital. And these returns are the driver of the financial results you see today. And looking at the numbers now, it’s not surprising to see that our folks turned in outstanding financial results for the quarter. Our net profit for the quarter was $149 million which is 67% higher than for the quarter was $149 million, which is 67% higher than 2014. When we factor share repurchases, our earnings per share of $1.12 increased 75% over 2014. We had an 18.9% pretax margin, which is more than 700 basis points higher than last year. This is our best-ever first quarter performance and we expect our margin performance to be one of the best in the industry. The strong financial quarterly performance resulted in a 12-month ROIC of 20.1%, which is roughly 1,200 basis points higher than our cost of capital. Even factoring out the head start that lower fuel costs did give us, this was our sixth consecutive year of profitability in the first quarter, which as you all know is seasonally our weakest quarter. We believe these results, together with our track record, demonstrate that this leadership team is committed to managing our business for profitability and returns regardless of the setting. We’re confident that our business will continue to perform well throughout the business cycles. And finally on the financial front, Brandon will talk with you in just a moment about the very robust cash flow from operations that we earned this quarter and that we expect to earn for the full year, as well as the strong cash flows and the shareholder-friendly uses of capital that we’ve had for several years now. As we look forward, we see continued strength in our business. Our folks are doing well with the things that matter most to customers, and customers are choosing to fly with us. The economies where we operate are strong and our financial model is working, as evidenced by these near-industry leading results. As our model performs, we’re returning a substantial amount of cash to shareholders. There may be some capacity trims that we need to do as we look beyond the summer, but I would think of those as normal course of business adjustments. So that’s my summary for the quarter. I want to thank everyone here, both the leadership team and the dedicated employees throughout Alaska and Horizon who are working very hard to produce these results. I’ll now turn the call over to Andrew.
Andrew Harrison: Thanks, Brad, and good morning, everyone. Our first quarter passenger revenue grew by $47 million, or about 5% on 10.8% increase in capacity, and this growth primarily came from four areas: first, we added capacity to markets that were generating high returns and needed more capacity. Secondly, we increased capacity in existing markets out of Seattle to give our customers more utility and maintain schedule superiority versus the competition. And third, we’ve increased the gauge of our aircraft as a result of last year’s cabin improvement project and the addition of 10 new 737-900ERs since the end of Q1 last year. And lastly, we’ve introduced service to 19 new markets since the end of Q1 last year, and this enhances our network reach and diversifies our last year, and this enhances our network reach and diversifies our revenue. In fact, since 2010 we’ve launched 73 new markets. Our newest routes started in the last 24 months with at least one year of history, actually saw PRASM growth of 5%. That’s well above our system average. These markets continue to mature in line with our expectations. Our underlying revenue performance continues to be solid. A testament to that fact was that three of our regions, representing a quarter of our Q1 capacity, grew 14% and still returned positive revenue growth in our seasonally weakest quarter. Competitive capacity was up 16% in our markets. It’s the highest increase we’ve seen. But looking ahead at published schedules, this looks to be the high-water mark for competitive capacity growth. We actually expect total capacity increases in our markets to build 12 points in the second quarter and only seven points in the third quarter. If you exclude Alaska’s own growth, this translates to only a six point increase in the second quarter and four points in the third, as other airline capacity increases in our network annualize. And we ran a free checked bag promotion in January for all of our Mileage Plan members, and then transitioned this promotion to only Affinity Card holders starting February 1. Several of you have asked us questions about this, so I’d like to spend a few moments to walk you through our rationale. Our mileage plan actually generates over half a billion dollars in revenue and $600 million in cash flows. Growing this important program is a key focus for us. It not only brings in new loyalty members but moves customers up the lifetime value chain and enhances future cash flows. Our mileage plan and the Affinity Card program are both mature programs, and it’s actually been remarkable that our Affinity Card holders grew 10% and our loyalty program grew by 15% in the first quarter, outpacing passenger growth of 10%. More importantly, the attrition in our loyalty program declined 20%. I’m very pleased to say that the program’s penetration in the Pacific Northwest has never been stronger. As it pertains to our card program, the absolute number of cards added this quarter far exceeded what we’ve seen in any of the past seven years. Based on these results, we’ve made the decision to structurally add a free first bag benefit for cardholders, while continuing to offer an annual companion pass. Our longtime and strategic partner Bank of America has agreed to co-sponsor this change, which will mitigate the revenue impact this year so that RASM impact is no longer big enough to talk about. That’s a win-win. Our customers get what we believe is the industry’s leading credit card while Alaska is able to generate greater we believe that the industry is leading credit card while Alaska is able to generate greater revenues from a stronger card program. I want to shift our focus now to the second quarter and Alaska’s capacity will be up about 10.5%. About a third of this growth is driven by efficient gauge and stage lent changes along with new markets. That said, we do have some headwinds in the second quarter, especially in April. First, last year’s Q2 PRASM growth of 2.6% was the strongest of the year making our Q2 comp harder this year. Secondly due to the shift in the Easter holiday, a portion of Easter traffic shifted into March, additionally, Easter overlapped spring break this year meaning we lost a second holiday travel period. We expect the combined impact of this to be about 2.5% for April PRASM. And lastly total seats into Hawaii from the west coast will be up 12% for the quarter which will pressure unit revenues in those markets. Given these headwinds, April may be our lowest PRASM results, but that said as we look beyond the next few months we continue in the strength of our results for the remainder of 2015 and here’s why: 90% of our capacity is deployed in domestic markets. Nearly all U.S. point of sale. U.S. economy continues to grow and is arguably one the strongest economies in the world right now. Demand in our core market is robust and new markets are maturing in line with our expectations. We are debuting preferred seating later next month as we begin to explore further segmentation of our cabin. Customers will enjoy extra leg room accompanied by a free drink and priority boarding. This initiative is expected to add $15 million a year in revenue without any incremental capital expenditure. Our third quarter capacity growth will slow to 7.5% during our peak travel period with a third growth representing stage and gauge increases along with new markets. As we move beyond summer and as Brad alluded earlier, we’re going enter into a softer demand period in September and we are planning to make modest capacity reductions in certain markets without compromising our schedule. We will achieve this by more aggressively reducing day-of-week and fringe flying. We’re in the process of working through these schedule adjustments. The upgrade of our revenue management system went smoothly in the first quarter and has allowed us to expand our P-fare [ph] offerings which are a discounted first-class booking across our entire system. Results have been very encouraging with our system-wide first class PRASM up 2.2% in the first quarter. That’s well above our system results. All in all we feel good about the revenue side of the business. Even in the face of unprecedented, competitive capacity additions, revenue was still up by $47 million. Our network is growing additions, revenue was still up by $47 million. Our network is growing, our revenues are more diverse, we’re giving our loyal customers great utility and low fares, our Affinity Card program is very strong, our customer service continues to improve and we are introducing new products. All of these combined will widen our custer [ph] moat and help us continue to drive strong future revenues. And with that, I’ll turn the call over to Brandon.
Brandon Pedersen: Okay. Thanks, Andrew, and good morning, everybody. Air Group’s adjusted net profit improved by 67% and as Brad said, earnings per share improved by 75% because of the significant share repurchases since the end of Q1 of last year. On an adjusted pretax basis, we earned $240 million, a nearly $100 million increase over prior year. Our revenues grew by $47 million, non-fuel costs increased by $73 million and fuel costs declined by $131 million. Non-operating income declined only because last year’s result included $13 million in gains from the sale of our stake in an IFE provider and stock received in a bankruptcy settlement. Andrew covered revenue, so I’ll provide some context on costs. Consolidated non-fuel unit costs were down 0.6% on the 10.8% increase in capacity. The cost performance includes higher depreciation from our significant investments in the fleet, higher pension costs and planned increases in maintenance, but it also reflects purposeful investments that we’re making, such as our branded Beyond service, including advertising to support the launch, better food and drink offerings and free content during the introduction of our new streaming in-flight entertainment. Our costs also include the impact of our new flight attendant contract, signed in Q4 of last year. It’s important to remind folks, however, that we have long-term agreements in place with all of our large work groups. With full year capacity now expected to be up 10%, we’re able to spread costs over more flying than originally planned, and now expect non-fuel CASMex to decline by about 0.5%. This would make 2015 the sixth year in a row, and for the mainline operation, the thirteenth year out of the last fourteen, of cost reduction. We expect CASMex to be about flat in the second quarter. We recognize that low costs are a key competitive advantage for us, and we’re focused on driving costs down further. Productivity is a big part of that. Productivity was up another 2.7% this quarter on a passengers per FTE basis. We view productivity as a sustainable advantage that we can continue to build on. Turning to fuel, our economic fuel cost per gallon was $1.98, down from $3.32 in Q1 of last year. Although different airlines use different techniques to manage fuel price risk, we remain committed to our simple, low-risk, low-volatility we remain committed to our simple, low-risk, low-volatility program that uses only call options as form of insurance and as a result we fully benefit from lower oil prices. We’ve also created a natural and permanent hedge with our highly fuel efficient fleet. Our fuel burn on an ASM per gallon basis has improved by another 3% since Q1 of last year. This will just continue to get better and grow our total cost advantage as we retire the rest of the 737-400 fleet over the next 30 months. Cash flow from operations was a very strong $500 million in the first quarter. To give you a sense of how our business is changed, this is about the same amount as we generated in all of 2010. In fact dating back to 2010, our operating cash flow has exceeded $5 billion. On balance sheet debt is now less than $1 billion. Debt to Cap stands at 29% and we’re in a net cash position of more than $300 million even after adjusting for leases. Net interest expense on our P&L is negligible. We’ve talked on several occasions about the 23% unit cost advantage we have compared to the legacy carriers. That the fact that we have virtually no net interest enhances our cost advantage even further. For example, last year on a per ASM basis the legacy carriers improved between $0.27 and $0.38 per ASM of net interest cost versus $0.02 for us. This represents another key component of our economic mote, and it is another reason we believe we can continue to produce very strong profits into the future. Our trailing 12-month after-tax ROIC of 21 – excuse me 20.1% is 530 basis points higher than at this point last year. Our ROIC is now higher than 80% of the companies included in the S&P 500. With our returns substantially exceeding cost to capital, investing in our business is the right thing to do. We’ll take delivery of 11 Boeing 737-900 ERs this year and return one Boeing 737-400 for a net increase of ten aircraft. We expect our full year CapEx to be $735 million, a bit less than our previous guidance. Again looking at the longer term trend, we’ll have invested more than $3 billion since the beginning of 2010 on larger, newer, more cost efficient and customer friendly airplanes and on technology that will help us be more productive and improve the customer experience. Even with the $3 billion of capital investment we’ve still been able to produce nearly $2 billion of free cash flow since the beginning of 2010. We want to deploy our capital in a balanced fashion to strengthen the balance sheet so that it looks like other high-quality, investment-grade industrial companies, grow the business, improve service, cultivate loyalty and expand our customer base. And we’re doing just that service, cultivate loyalty and expand our customer base. And we’re doing just that. But we also want to build our track record of being leaders in returning capital to shareholders. To that end, we increased our dividend earlier this year by 60% and have doubled the dividend since its inception in 2013. Our dividend yield is currently right at about 1.3%. During the quarter, we repurchased $102 million of our stock, or 1.2% of total shares outstanding. This brings our cumulative share buyback to 31% of outstanding shares since the beginning of 2007, and on average we’ve repurchased more than 4% of our shares annually since that time. Given our very strong cash flow, we’re increasing our total full year shareholder return target from at least $420 million to at least $550 million, or what should be about 120% of 2015 free cash flow based on current consensus estimates. Assuming that quarterly dividends consistent with current levels and the $100 million that we’ve repurchased to date, the math implies we’ll repurchase an additional $350 million of our stock, or more than 4% of the company at today’s market cap by the end of the year. There’s a strategy here. Give our owners great returns both through a meaningful dividend that we want to increase over time and through EPS growth that comes from retiring a meaningful percentage of our outstanding shares annually. We’re off to a strong start in 2015, and I want to join Brad in thanking all of our employees for their many contributions. And with that, we’d like to open it up to questions that you may have.
Operator: [Operator Instructions] We’ll pause for just a moment to compile the Q&A roster. Your first question comes from the line of Savi Syth with Raymond James. Your line is open.
Savi Syth: Hey. Good morning. Just, Andrew, if I might ask you to elaborate a little bit on what you were talking about, the four different types of growth that you have. Could you kind of break out what the mix is between the capacity in high-return markets versus the other three? And just maybe the trend as you go forward through the year in those groups?
Andrew Harrison: Yes. Hi, Savi. It’s Andrew. I think probably most simplistically to look at it is really thinking about sort of a third of it is sort of the gauge and stage in new markets. So the new revenue streams and the efficiencies. And then I don’t really have specifics on the other two categories, which is high-margin return markets, which our cops [ph] wouldn’t share, and also new utility. And then as we move into Q3, it gets more like 50/50. So basically half of its new revenue in stage, gauge, and then the rest is adding to our core.
Savi Syth: Got it. And just on that, does the Affinity card program that’s done, does that improve corporate share? Or is that more leisure share that you’re gaining from that?
Andrew Harrison: You know, I think what it does is it improves share across all aspects of our business and essentially why we’re so excited about it is that it, it just demonstrates to us that our product, our fares, what we provide the customer is a good proposition and people are joining our family and our loyalty program and coming back to us more and more, and this growth and the economics that it produces is really a win for us.
Brad Tilden: Yes. It’s, yes, I think in our market it’s kind of the same person. They’re a business person on Monday, Tuesday, Wednesday. On Saturday night when they’re out to dinner using the credit card there, they’re leisure. They fly us to Cabo. They fly us to New York for business. It’s a, you sort of move around town. I think it’s the same people that fly us both business and leisure.
Savi Syth: Got it. And then it’s my last question. On the hedging funds, I understand that the cost is kind of hedging with options has moved up. Is there any kind of change in your thinking on the hedging strategy front there?
Mark Eliasen: Hi, Savi. This is Mark. There really isn’t any change. Our program as you know, has performed well through the 2008 run up and collapse. It performed well as fuel ran up through the 2010 thru 2013 and then the current collapse, we’re fully participating. It is a little more expensive. But think about it and when, you know, that it’s going from maybe $10 million a year to possibly $19 million or $20 million. So that’s about $0.04 a gallon. We think that’s insurance money well spent.
Savi Syth: All right. Great. Thank you.
Mark Eliasen: Thanks, Savai.
Operator: Your next question comes from the line of Hunter Keay with Wolfe Research. Please go ahead.
Hunter Keay: Thank you. Good morning.
Brad Tilden: Good morning.
Brandon Pedersen: Good morning.
Hunter Keay: Hey, Brad. Please pick one of these two, and my follow-up depends on your answer. Tell me what you’re more frustrated about, your earnings multiple or the amount that investors focus on PRASM?
Brad Tilden: Oh my gosh. You know, Hunter, I maybe I’m not going to answer. I mean, our, the way we look at the world is our job is to run a great business. Our job is to build alignment with our employees, get people all sort of, have an orientation around low cost and low fares and high productivity, great service to our customers and then turn that into money. Turn that into earnings, get a machine going where we can buy airplanes, make money with them and all of that. People want I mean the multiple has been where it’s been for a long time. It would be nice if it was higher. The PRASM is down a bit but, as we are pointing out this morning, the absolute returns are stunning. So it’s, we’ve, our mentality, is we need to control what we can control and let you guys worry about the things that we can’t control.
Hunter Keay: I appreciate that, and the reason why – if you had said PRASM, I was going to say, then why do you even talk about it? Why don’t you just guide to a full-year earnings number, a full-year margin number, and then give us a fuel number. And then change the conversation. Because we, as analysts, model what you talk about. And if you do that, your multiple will go up. And then if you had said multiple, Brad, I would have told you, why are you not buying back 10% of your stock this year, if you think your stock is cheap? It’s a no-brainer to borrow at 2% with an 8% earnings yield. I’d argue that 4% buyback is great, relative to other airlines, but you’re trying to distinguish yourself to other industrials, not their airlines. Why aren’t you buying back 10% of your stock this year?
Brad Tilden: It’s a good question. We’re sort of steady Eddie. We’re – who knows what environment we have in the years ahead? And, Hunter, as you know, we talk to a lot of folks about what they would like to see us do. Would they like to see a dividend? Would they like to see share repurchases? Would they like to see us borrow up and buy now, or sort of buy regularly as we produce cash flow? I actually think what we’re doing is in the sweet spot of what our investors are telling us, and I’m proud of it. If you look at what we’re doing, we’re going to produce $500 million of operating cash flow in the first quarter. Brandon, well, what will we produce for the full year?
Brandon Pedersen: $1.2 billion based on consensus.
Brad Tilden: $1.2 billion for the full year, and we’ll return over half a billion dollars to shareholders. So I get the question, but I think what we’re doing is sort of in the sweet spot of what the majority of our owners would like to see us do.
Hunter Keay: Okay. And then as I think about you guys as being one of really only two airlines that have pretty much clear visibility on labor costs over the next four years, can you – you guys are expectation managers, if there ever was a manager of expectations, it’s you. So help talk me out of why your cost advantage can’t get at least 10% bigger, over the next four years? As your labor contracts don’t really move that much, and everyone else around you is pretty much granting pay raises?
Ben Minicucci: Yes. Hunter, it’s Ben Minicucci. Yes. Hunter, you’ve actually nailed it. We’ve got, with our big labor groups, we’ve got deals that average over four years. And the annual increases on those deals are only about 1.5%. So we have a strong level of confidence that we will be able to control labor costs over the next five years, and with our continued focus on productivity, every labor group’s focused on productivity. It’s what we do going into labor negotiations. We said, hey, we want to pay well, but that’s all in exchange for high productivity. So we’ve got a tremendous amount of confidence in our operations teams that we’ll keep our labor costs really well in check over the next four to five years.
Brandon Pedersen: Hey, Hunter. It’s Brandon. Just want to follow up on that, to elaborate on what Ben’s saying. We tried to illustrate it at Investor Day, but you’re on the right track, which is as others increase not only their labor costs but just generally their costs go up over the next few years, and we’re able to drive cost reduction, our margin gap between us and the competition just continues to get wider.
Hunter Keay: Yes. Okay. Well, it’s going in the model. Thanks a lot.
Brandon Pedersen: Thank you, Hunter.
Ben Minicucci: Thanks.
Operator: Your next question comes the line of Joe DeNardi with Stifle. Your line is open.
Joe DeNardi: Hi. Thanks. Good morning.
Ben Minicucci: Hi, Joe.
Joe DeNardi: Yes. And maybe just following on Hunter’s question about the capital deployment. I guess even with the $500 million target now, is there looks to be some cash left over. I mean are there other sources of cash that we should think about beyond the buyback for this year?
Brandon Pedersen: Hey Joe, it’s Brandon maybe I’ll start and Mark can chime in if I don’t finish the thought. It’s at least 550, just for the record and that’s up from 420 so today we’ve made a statement that we were going to be 30% more than we had on record. That’s a pretty big number and the other thing I’ll add is that we said at least 550. We try to be really balanced in terms of how we deploy capital and I think we’re continuing to do so and it shows in the amount of capital that we’re returning to shareholders, both through the dividend and through the share repurchase program.
Joe DeNardi: Okay. And then on the CapEx side. Going forward how should we think about, I guess, your willingness to exercise some of these options with margins where they are? I mean if margins stay in this kind of elevated range, do we just assume that all of these options are going to be exercised?
Brad Tilden: Mark, you want to take that?
Mark Eliasen: I would just say that we’ll continue to do what we’ve been doing. We are in a fleet transition as you know. We’re getting, we’re moving out 27 classics, so we’ll be an all NG and Max fleet. And so we take, we look at our options as they come up and we evaluate what the business conditions are. Of course we only exercise options when we can fly those airplanes profitably. So I think we’ll just kind of stay the course as we have been and we’re up over the next three years, we’re up 15 airplanes net.
Brad Tilden: Hey, Joe. Just one other thought on that. The next airplanes that we have that are under option are for 2018 deliveries. That’s an eternity in our business. So we’ll just, as Mark said, we’ll continue to watch it, but they’re a long way off.
Mark Eliasen: And 2016, this year, Brad, we’re going to grow what? By a net of 10 airplanes? Next year, 2016, the fleet growth is going to be about flat.
Brad Tilden: Yes. That’s right. Up a couple.
Mark Eliasen: Yes.
Brad Tilden: Up a couple.
Mark Eliasen: Two?
Brad Tilden: Yes.
Mark Eliasen: Okay.
Joe DeNardi: Okay. Thanks very much.
Operator: Your next question comes from the line of Duanne Pfennigwerth with Evercore ISI. Please go ahead.
Duanne Pfennigwerth: Hey. Good morning, guys.
Mark Eliasen: Hey.
Brad Tilden: Good morning.
Duanne Pfennigwerth: So when you net out, I guess, lower competitive capacity growth into the second quarter, in what should be a seasonally stronger period, 2Q, 3Q, how would you characterize the revenue environment now, versus what we just experienced in first quarter?
Andrew Harrison: Hi, it’s, Andrew. You know I would say that without giving forward guidance here, that we continue to see similar conditions as we have seen in March, and March was a growing stronger period as is April. Seen in March, and March is a growing stronger period, as is April. There’s been a shift in the holiday back and forth, but we’re growing at 13% in April. We grew 13% in March. There’s some things moving back and forward, but overall we see good continued strength as we get more demand under us into the seasonally stronger periods.
Duanne Pfennigwerth: Okay, thanks for that. And then, just on your comment on the bag fee, can you maybe expand on that a little bit, in terms of what we saw in the first quarter? And maybe the difference between passenger and total unit revenue? Is there a trend change that you’d expect there? Or do we expect other revenue to kind of re-accelerate based on this co-sponsorship?
Andrew Harrison: I think big picture the way to look at this is that on a per-passenger basis, our ancillary revenues were down actually 9%. All of that was due to bag fees and the promotions that we ran. Most of the other categories were up on a per-passenger basis, double digit. And at the end of the day, we’re going to be offering a card like many other carriers do, a free bag with our card, as well as a companion pass. And as we shared in our prepared remarks, with Bank of America working with us, we feel like we’re in a really good place and that any economic impact will not be significant going forward on ancillary revenues.
Duanne Pfennigwerth: Okay. And then just my last one I’ll sneak in here. On the CapEx, it looks like maybe a $15 million push from 2015 to 2016, but maybe modestly higher in the out years. Can you just sort of provide some detail as to why that’s continuing to creep up? Thanks.
Brandon Pedersen: Duane, it’s Brandon. Nothing in the out years that should be new disclosure. I think some of that probably relates to the airplanes that we acquired back in February, and we changed our CapEx disclosure in our February investor update, but there wasn’t anything new in the out years with this most recent investor update.
Duanne Pfennigwerth: Okay. Maybe I’ll follow up with you offline. Thank you.
Brandon Pedersen: Thanks.
Andrew Harrison: Thanks, Duane.
Operator: Your next question comes from the line of Helane Becker with Cowen and Company. Your line is open.
Andrew Harrison: Morning.
Helane Becker: Yes. Hi, guys. Thanks for the time.
Brad Tilden: Hi, Helane.
Helane Becker: Hi. So I just have a question about aircraft maintenance. So since the fleet is getting younger and more fuel efficient, how come maintenance is up 24% in the quarter?
Ben Minicucci: Helane, it’s Ben. A couple of engine – so our NG fleet, the next generation fleet, is not covered by or powered by the hour, which we will hopefully have in place by the end of this year. So a lot of our NGs, we took the honeymoon period here in the first 10 years of life, which are phenomenal engines by GE. So we did have a couple of UERs, unexpected URs in the first quarter so we did have a couple of UERs, unexpected URs [ph], in the first quarter. But that’s something we’re going to address here by the end of the year.
Helane Becker: Okay. And then I just had one other question. With capacity growth getting, I guess, slowing, competitive capacity growth in Seattle slowing in the – like, as you get through the summer months, do you think you’ll see – are you seeing any benefit on pricing in some of your core markets?
Andrew Harrison: Hey, Helane. It’s Andrew. You know, we are finding, as you would expect, where there is excess seats in a market that we’re having downward pressure on unit revenues. I think as I look at the environment, it’s sort of a mixed bag with the general strength of domestic travel, with some major changes in some of our other markets. As we look forward, I can’t see much out into the future, but what I will say is that the pricing environment is behaving exactly how we would expect it to behave given the current economy, our capacity and others’ capacity, and as I shared in my prepared remarks we’re going to look at some adjustments we may need to make to help shore some things up there as we move into the fourth quarter.
Helane Becker: Okay. And then can I just sneak in one last one?
Andrew Harrison: Sure.
Helane Becker: What’s your paid first class? You know, what of your first class is paid for versus upgrades?
Brad Tilden: I think it’s nudging up – it was roughly a third, Helane. If you go back a few years ago, before we put in our new strategy, it was basically one customer per flight. So first class is typically 16 seats, some airplanes it’s 12, and we’re up to five or six customers a flight. Andrew, I think it might have even popped up a little bit more in the last quarter or two?
Andrew Harrison: Right. And I – that’s right. And, Helane, one thing that competition teaches one is we’ve probably not been as focused on either the unit revenues, the service or the benefits that first class cabin, which is like 10% of our seats, has been performing at. So we are actually more focused on that cabin and it’s paying off.
Brad Tilden: Yes. And just to be really – there’s three ways to get into first class. A, you buy a first class fare, and that’s what we’re talking about. Second, you buy a qualifying upgrade fare, and third, you buy a non-qualifying upgrade fare. And we’ve been – we have been focused on offering great value with the F fare, and that’s why we’ve done well with getting a lot of folks up into the front part of the airplane.
Helane Becker: Great. Thank you. Thanks very much for the time.
Brad Tilden: Bye, Helane.
Andrew Harrison: Thanks, Helane.
Operator: Your next question comes from the line of Jamie Baker with JPMorgan. Your line is open.
Jamie Baker: Hey. Good morning, everybody. Actually following up on that, should we really think about paid first class as sort of the next act of ancillary evolution insofar as that historically it was a product that was just given away?
Andrew Harrison: Hey, Jamie. It’s Andrew. A couple of things I would say. I would absolutely concur with that statement. And then secondly, we will be launching some preferred seating ancillary revenues coming online in the – in next month. And what I will tell you is we are looking really hard at how we segment our passengers and how we can look at getting more revenue out of our cabin while offering customers things that they would like to have. So we are actively looking at our cabin and our ancillary revenue models.
Jamie Baker: Got it. Got it. My initial question before that last topic came up, in the bid of a departure, United announced today that it was beginning to look at a package of used aircraft, and they’re certainly not alone in this regard. It’s easy to see how it’s beneficial to ROIC, and I realize that’s a metric you do not struggle with, but you guys were so far ahead of the curve years ago. You cancelled the CRJ-700s, pursued the Q400, I’m just wondering why used aircraft aren’t part of the, sort of the fleet fabric at Alaska?
Ben Minicucci: Well, I’m going to start, Jamie, on the operations side. It’s Ben. There are a few things. One, old airplanes, for example, our classic fleet in terms of maintenance costs, is significant higher than our NGs. There’s just no question about it. From a reliability perspective, this fleet is less than a third our size. It drives half the operational issues we have out on the line. So we like keeping our costs, our operational costs low, our reliability high, and I think it just makes sense not keeping airplanes past a certain lifespan. So that’s principally in operations, that’s how we think about it. And fortunately my friends in network and finance agree with me.
Andrew Harrison: Yes. And the other thing I would add – this is Andrew – is that honestly, the ER and the next generation aircraft are perfectly suited for our network, where we want to fly, and that the older, classic versions are actually negative on our ability to increase revenues and provide great service. So this works really well for us to continue to keep the fleet fresh.
Jamie Baker: Okay. And if I could just really quickly squeeze in a third one, you talked about maintaining schedule superiority in Seattle. That may simply mean more domestic capacity than the next guy, or are you actually arguing that your schedule is somehow better optimized to passenger demand than the competition? I’m not beating you guys up if this is just a – it may just be a catch phrase, like award-winning in-flight magazine, I’m just wondering if there’s any analysis to actually back it up?
Andrew Harrison: Well, it’s a couple of things. The number one, we are working very – with all the growth we’ve had in Seattle and the very expansive feed network that we had in Seattle and the very expansive feed network that we have. We are doing a much better job at lining those up. But we are making sure that if you want to fly to California or where you want to go that we have the best times. And the other big things is – and it’s going to continue, I’ll share that with you on the phone today – is that moving into new revenue markets out of the Pacific Northwest has served us extremely well. And so when you bring all of those thing together, we think that it’s a winning model.
Jamie Baker: Excellent. Thank you, everybody.
Andrew Harrison: Thanks, Jamie.
Operator: Your next question comes from the line of Darryl Genovese with UBS. Your line is open.
Darryl Genovesi: Hi. Good morning, guys. Maybe just one of your comment around growth. Understanding that overall your returns are higher than your return on invested capital but just wondering when you’re thinking about the marginal growth that you’re putting in, can you share anything with us around perhaps what kind of return you’re earning on that so that we can get a sense of just how extended the forward growth trajectory is?
Brandon Pedersen: Darryl, it’s Brandon. Hi. How are you this morning? The answer to your question is we do think about return targets. We’re not going to share those on the call as we’re producing superior returns. But I think what you’re suggesting is or what you’re asking maybe is, is the marginal capacity addition going to have the same return as the system average. I think the answer to that is no but I can assure you we are looking at the returns on incremental aircraft and in incremental markets and they do have to pass a hurdle that we have internally.
Brad Tilden: Darryl, there’s a normal run of it. It might be one to maybe three years in the market but I think what we can say is that all those new services we’ve added, it is maturing. And as it does mature in two or three years, it’s producing very robust returns that do exceed our cost of capital. I think I shared in my part of the remarks that if you look at our growth in the last 12 or 14 years, which picks up Trans-Con and Mid-Con and Hawaii and some of what I would call single-flight cities out of Seattle, it’s 40% of revenues and 40% of profit. So the new growth over that longer period of time is earning its fair share of the profits.
Darryl Genovesi: So you think when, understanding that the less mature stuff will not earn the same return as the more mature capacity will. But when you’re thinking about your projections for new markets that you’re entering out, two to three years down the road, starting today, does it look like those – that incremental capacity that you’re putting in will eventually mature to the system-wide average return? Or is it dilutive, just because you’ve already addressed the very attractive markets? And now you’re addressing the next most attractive markets?
Brandon Pedersen: Darryl, it’s Brandon. Maybe I misspoke just a tiny bit. And Brad corrected me. Out of the gate, they are dilutive. But ultimately the goal is to have all of these new markets get to system average and product really strong returns.
Brad Tilden: And I think the markets we’re adding now look just markets we added three ago, in terms of how we expect them to mature.
Darryl Genovesi: Okay. And then maybe just one quick follow-up on Jamie’s question, with regard to the – potential for used aircraft purchases. I think a lot of the used aircraft purchases that we are seeing are current generation aircraft. I think the answer to his question seemed to revolve around the difference between the classics and NGs. But we see Southwest, for instance, is buying a lot of new – sorry, is buying a lot of used 737-700s up. You’ve got Air Berlin in Europe right now that has, I think, 50 roughly five-year-old 737-800s that it’s looking to take out of its fleet. So it does seem like there are a relatively young, current-generation used aircraft opportunities out there. And just wondering why that wouldn’t be a consideration?
Brandon Pedersen: Darryl it’s Brandon. I’ll take that one too. We’ve got a great order book. We’ve got on order book that’s got great NGs through 2017 and then Max is beyond that. We do have a ton of flexibility to get rid of airplanes if we don’t like them but I don’t think you’re going to see this team change paths in terms of our strategy moving from new airplanes that we’ve got on the books with Boeing to used aircraft.
Darryl Genovesi: Thank you.
Brandon Pedersen: Thanks, Darryl.
Operator: Your next question comes from the line of David Fintzen with Barclays. Your line is open.
David Fintzen: Hey. Good morning, everyone. Maybe a quick very specific one for Andrew and I’m thinking more big picture here. In Hawaii, how limited are facilities in the overall Hawaiian airports? And are there specific ones like Honolulu that are a lot tighter? I’m just trying to think to the extent you guys want to grow the franchise over time, or others, are there some physical limitations we’re going to run into soon?
Andrew Harrison: Hi David it’s Andrew. From our perspective there’s always limitations in airports, especially off the west coast of Hawaii. There is a narrow band of times that really work well for one’s network. Having said that, we feel very good right now about what we have. And as you may or may not aware, there are things going on with improvements to Hawaii. But it is tight, like every one of these major airports in a consolidated industry but nothing we see right now that is actually causing any major issues with our operation. Unless Ben has any other view on that?
David Fintzen: Sounds like no. That’s the only thing I had. Thanks. Appreciate it.
Andrew Harrison: [Indiscernible]
Brandon Pedersen: Thank you.
Operator: Your next question comes from the line of Mike Linenberg with Deutsche Bank. Your line is open.
Mike Linenberg: Hey, good morning, everyone.
Brandon Pedersen: Good morning Mike.
Mike Linenberg: Two questions here. One to Andrew. When I look at your relationship with American, we’re a year and a half since the merger. And you’ve done a pretty good job, percentage wise, growing the revenue. But it seems like that – that it could be a much bigger deal. This recent move to transfer the Mexico City LA authority, it’s one of many – all sorts of types of things that you could envision, at the beginning, that you could accomplish with them. And I’m just – is it what’s maybe preventing it from becoming a bigger deal? Is it the fact that they need to merge their passenger service systems, and that’s a gating factor? Or are there restrictions in your agreement with Delta that prevent you from becoming – or doing a lot more with American? What’s holding you back?
Andrew Harrison: Hey, Mike. I certainly could see where your thoughts are about holding us back. We feel very good about where we are and you hit the nail on the head. Until American go to a single passenger reservation system, single certificate, they’re combining loyalty programs, which basically at the end of this year they will be one, single organic entity. That’s when our ability to do more with them really accelerates. And then you’ve seen a little bit [indiscernible] Mexico Transco [ph], we are working on some really cool and exciting things but you’ll find that accelerate from our perspective once the U.S. and American Airline become truly one.
Mike Linenberg: Okay, very good. And then just my second question, and this is to Ben. This last month – or two months ago, in March, we saw the sizeable increase in Seattle departures. I think you’re up about 11% or so. And of course, you have Delta adding, but your numbers are good. Your operating performance is good. And I’m just curious, as we look into the June quarter, are we running into any saturations at Seattle? Both with what you’re adding and what Delta is adding? There’s – how much more room do you have on your gates? It’s – we run into inclement weather conditions, is it going to show up in the numbers? Where are we on, with respect to additional capacity in the airport [indiscernible]?
Ben Minicucci: Michael, great question. If you rolled back in the fall, I had a ton of anxiety for the March time frame because in March our growth as well as there’s a lot of growth in sales. I had a lot of anxiety keeping our operation where it was. But we took a tremendous amount of steps in modeling and analytics to make sure and working with Andrew’s team, that when flights depart, when they arrive with Andrew’s team, but when flights depart, when they arrive, so we’re squeezing them into valleys and taking away peaks. So we did a really good thing, so we kept our operation at a pretty high level. We’re also working really closely with the port of Seattle. We share our analysis on gate use, runway use we show them where we think there are spikes and slowdowns. So we’re working well with them. What I will say, though, as to your question on increased capacity, we are spread out a little more. So we are using more common-used gates than we have in the past. So it is putting a little more strain on us. But the airport is going to be constrained. And they have a very strict formula how they allocate gates, so it is based on departure seats, and we get over half the gates. Growth in Seattle at some point is going to be constrained until there are major capital projects to add more gates. But you won’t see that in the next five years. So Seattle will – is coming to a place where there cannot be the same level of growth that there has been in the last few years. Unless you want to operate in non-optimal times of the day, which Andrew keeps telling me that passengers just won’t fly unless you’re leaving at between 7:00 and 9:00 in the morning, which is where he wants to put all the flights. I just say there’s just no more room between seven and nine in the morning. So we are – so it’s a great question, and we’re on top of it, and we’re working closely with all the stakeholders on that. But it’s going to be more limited going forward.
Mike Linenberg: Okay. Great. Thank you.
Ben Minicucci: Thanks.
Andrew Harrison: Bye.
Operator: Your next question comes from the line of Dan McKenzie with Buckingham Research. Please go ahead.
Dan McKenzie: Hi good morning, guys. Andrew, I guess just a couple of house-cleaning questions here. Did you say what percent of the ASMs are in markets under 12 months? And I guess I’m wondering how that stat would evolve in 2016?
Andrew Harrison: No, I did not use that statistic. I think what I was sharing was about a third of our capacity growth was stage, gauge and new markets. I think what you’ll find is this relationship will likely hold true through the rest of 2015 and again, at this point we don’t have much to say about 2016.
Dan McKenzie: Understood. And then I guess, Brandon, I know Alaska in the past has kind of laid out multi-year longer-term non-fuel cost targets, and I’m wondering what kind of line of sight you can share with us today as you’re thinking about that longer term?
Brandon Pedersen: We don’t have a specific cost target for 2016 or beyond that we would be willing to share today. What I will say, though, is fundamentally we recognize that lowering costs is a key to our success. And as we look forward to 2016, we’re going to work really hard to leverage the capacity growth in those years, we’re going to stay super-disciplined on productivity, and we’re going to make sure we don’t lose our low-cost culture that we’ve created over the last few years, both out in the operation and in the back office. So down is the trend, Dan.
Dan McKenzie: Very good. And then if I could just squeeze one final one here. And I guess, maybe, this would either be again for you, Brandon, or possibly Andrew. The fleet has evolved, I guess in size, at least, pretty dramatically versus just five years ago. And I guess the domestic critical mass is pretty different versus what it was five years ago. And I guess I’m just wondering if it’s increased enough for Alaska to contemplate wide bodies in the fleet? At some point, say, over the coming three to five years?
Brandon Pedersen: It is Brandon, no we love the simplicity of our single fleet operation.
Dan McKenzie: Very good thank you guys.
Brandon Pedersen: Thank you.
Operator: Your next question comes from Savi Syth with Raymond James. Please go ahead.
Savi Syth: Hey, just a quick follow-up. I know earlier in the call, you mentioned Hawaii was weak. Just wondering if you could elaborate a little bit about what you’re seeing there? And maybe if you’re doing anything that would help alleviate the pressures there?
Andrew Harrison: Savi it’s Andrew. Essentially, what we’ve seen is, there’s been some Pacific Northwest adds, which is ourself and another competitor. But really, a lot of it is coming from the Bay Area and Southern California. And as I shared in my prepared remarks, overall across Washington, Oregon and California, it’s up about 12%. We’ve also seen that starting like [indiscernible] and we’ll be adding more capacity. We will continue to look at our network, our capacities, our feed. We have a lot of options and tools available for us, given the breadth and depth of [indiscernible] we’re monitoring it, managing it and we’ll do what we need to do to keep it strong.
Savi Syth: And could you remind me again, Andrew, how much of that Hawaii is your overall system?
Andrew Harrison: Currently on a capacity basis it’s 18% of our ASMs for the year ended 2015.
Savi Syth: Okay great thank you.
Operator: [Operator Instructions] Your next question comes from the line of George Ferguson with Bloomberg Intelligence. Please go ahead.
George Ferguson: Yes, thank you. A question for you on power by the hour contracts. Just curious. I think coming at a power by the hour contract after the honeymoon period, the 10 year honeymoon period, is it really – when you do the analysis, how worthwhile is it to get inside a power by the hour contract, at that point? Because I’d imagine the engine makers would have wanted the gain from the honeymoon period, when they price the contracts, and now you’re going to pay, based on certain near-term expectations of shop visits.
Ben Minicucci: George, it’s Ben. You know the calculations can be complex. There are companies that pay power by the hours when you purchased the airplane. And their rates are different year to year as the years go by their rates will change. What we have found through our experience is it depends – it actually depends on the engine. It depends on the airplane. When you look at the 737, it’s just a phen – Boeing has built a phenomenal airplane. And GE has a phenomenal engine. So based on our experience, we thought the best thing to do is just fly the airplane and just take into the cost of manage [ph] you have until this engine needs an overhaul. Today’s engines compared to when I started just last common wing [ph], way longer and harder, just more reliable. So for this airplane and this engine, this makes a lot more sense.
George Ferguson: Yes. I guess to follow that up, so then what changes now at 10 years to make you want to move into a power-by-the-hour contract?
Ben Minicucci: Well, a couple of things. One, we purchase the airplanes in batches. We will get a huge financial cost bite [ph] that we kind of want to level out. So that’s one thing. Because what you’ll do in a power-by-the-hour is you’ll level out your costs over the next 10 years, so you don’t have these huge fluctuations in expenses. So that’s one of the big primary factors in putting it power by the hour.
Brad Tilden: Yes. George, from my perspective, an engine overhaul for one engine could be several million dollars. There’s value in building predictability into the business and being able to create an expectation of the leadership team that we make money, and we make predictable margins every quarter of the year. And when you have big expense items that are variable and moving around, it’s harder to create that expectation of running a successful and profitable business. So a fair bit of those contracts I would say is the financial advantage of just get – moving from volatility to predictability.
Ben Minicucci: Got it. Okay. And one last question. As you move the classics out of the fleet, any sense where your classics are going to go?
Mark Eliasen: It’s really – George, it’s Mark. It’s really up to the leasing companies. Eighteen of those classics are leased. So we’ll just return them back to the lessors, and they’ll make all those decisions.
George Ferguson: Do you ever worry about them ending up in the hands of competition, for low costs, maybe low cost not having spoke, but a single route complication?
Mark Eliasen: Yes. We really just don’t have any control over it. So we don’t worry about things we can’t control.
George Ferguson: Okay. I appreciate it. Thank you.
Mark Eliasen: Thanks, George.
Ben Minicucci: Thanks George.
Operator: Your next question comes from the line of Tom Banse with KUOW Radio Seattle. Your line is open.
Tom Banse: Good morning. I think this is a question for Andrew, but I wonder if we could get just a little more detail for the many Frequent Fliers in the Pacific Northwest, and my audience, about the incremental nature, or fleet-wide rollout, of the premium economy offering next month?
Andrew Harrison: Yes. We will be – we won’t be changing the seats per se, but we’ll be selling our exit rows and our bulkhead rows, and depending on how far you travel, if it’s under 1,000 miles we’re going to price that at about $15. And there’s mid-continent, and then there’s trans-con Hawaii, which is much further. And really what our customers will enjoy will be much more leg room that they can buy with a free drink and priority boarding. And so it’s something that our customers have been asking for, and so we’re really excited to be able to offer that. It’s a step [ph] into this area, it’s not huge, it’s only three rows or so, but we continue to look at this and if we get good uptake we might expand it.
Tom Banse: And this would not apply, then, to the Horizon Air? Or would it?
Andrew Harrison: Right. It would just be the 737-800s and 900s.
Tom Banse: Great. All right. Thank you.
Andrew Harrison: Thanks, Tom.
Mark Eliasen: Thanks for calling, Tom.
Operator: Ladies and gentlemen, this brings us to the end of our Q&A session. I now turn the call over to Brad Tilden for closing remarks.
Brad Tilden: All right. Well, that’s it. Thanks, everybody. We look forward to talking with you next quarter.
Operator: Thank you for participating in today’s conference call. This call will be available for replay beginning at 12:00 p.m. Pacific Time today through 11:59 p.m. Pacific Time on May 22, 2015. The number to dial for the replay is 1-855-859-2056 or 1-404-537-3406, and the conference ID number for the replay is 22988361. Also, the call will be accessible for future playback at www.alaskaair.com. You may now disconnect.